Operator: Greetings, and welcome to the Terex First Quarter 2022 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to turn the call to your host, Randy Wilson, Director of Investor Relations.
Randy Wilson: Good morning, and welcome to the Terex first quarter 2022 earnings conference call. A copy of the press release and presentation slides are posted on our Investor Relations website at investors.terex.com. In addition, the replay and slide presentation will be available on our website. I'm joined by John Garrison, Chairman and Chief Executive Officer; and Julie Beck, Senior Vice President and Chief Financial Officer. Their prepared remarks will be followed by Q&A. Please turn to Slide 2 of the presentation, which reflects our safe harbor statement. Today's conference call contains forward-looking statements, which are subject to risks that could cause actual results to be materially different from those expressed or implied. In addition, we will be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures can be found in the conference call materials. Please turn to Slide 3 and I'll turn it over to John Garrison.
John Garrison: Thank you Randy, and good morning. I'd like to welcome everyone to our earnings call and appreciate your interest in Terex. I would like to begin by thanking all Terex team members for their efforts in this challenging global operating environment, with production disruptions and COVID impact. Team members are working diligently to improve our performance for customers and shareholders. We are seeing strong global customer demand in our business. Bookings of $1.8 billion, increased 19% year-over-year. Record backlog of $3.5 billion, increased 17% sequentially and 73% compared to prior year. The global operating environment has become increasingly difficult and unpredictable. With that said, our supply chain team members are working hard to minimize production disruption and to deliver for our customers. Next, let me take a moment to address the war and its impact on Terex. First, our thoughts are with the Ukrainian people. During the first quarter, we stopped accepting new orders from Russia and Belarus. We have no manufacturing and limited historical sales into Russia, Belarus and Ukraine. However, the recent increases in commodity prices, energy costs and logistics resulting from the war are adversely impacting the company. Despite these challenges, Terex team members have worked together to drive our strategic priorities, execution, purposeful innovation and growth. Turning to Slide 3. We are proud of all Terex team members, who are keeping themselves and others safe. I would like to thank our team members around the world for their continued commitment to our Zero Harm safety culture and Terex Way values. Safety remains a top priority of the company driven by Think Safe, Work Safe, Home Safe. Our strong commitment to Zero Harm is driving improvement of safety metrics, such as total recordable incident rate, which has significantly improved over the past six years. This is a testament to the hard work and dedication of our team members. Please turn to Slide 4. Our strong environmental, social and governance programs deliver stakeholder value. We continue to progress on our ESG journey with leadership from our Board of Directors and executive leadership team. During each quarterly investor call, we will feature one of our pillars of our ESG strategy, and we will report progress. This quarter we are highlighting social responsibility, which includes diversity, equity and inclusion, or DEI, employee engagement and community support. I am proud that many of our team members are actively participating in our affinity groups, which includes veterans, women, working parents, pride and non-majority team members. For example, our working parents group is very active in supporting each other during this demanding time for working families. In addition, 3,000 team members participated in our March International Women's Day events throughout the world. Our goal is to capture the full potential of Terex, by making sure every voice is heard and team members feel valued and welcome. Affinity groups give team members an opportunity to support one another, grow their networks and provide education. Each of our executive leadership team members is sponsoring one of our eight global affinity groups. One of our objectives is to drive action around social responsibility including increasing e-mail and non-majority representations throughout the company. Our executive team's compensation is aligned with these goals. I want to recognize our team members' impact on their communities, which clearly demonstrates that Terex Way values its citizenship and service leadership. Our materials process from team members in India are partnering with local non-governmental organizations to fund children's rights and education. Our Noida team members will participate this quarter and a habitat for humanity project and environmental cleanup. Also team members in the company have donated to the Ukrainian relief efforts. We are pleased with our progress on our ESG goals. Please turn to Slide 5 to review our financial highlights. The team delivered solid financial results for the quarter. Sales of $1 billion were driven by continued strong global customer demand with continued crude cost management. Operating margin of 7.4% improved year-over-year and earnings per share of $0.74 increased 32% compared to prior year. Overall, first quarter financial performance demonstrated continued strong execution of our team members in a dynamic and ever challenging operating environment. Please turn to Slide 6. Our MP segment is a diversified, high-performing portfolio of businesses. MP's brands have leading market positions with excellent end market, product and geographic diversification. MP's global demand remains strong, demonstrated by a 24% increase in bookings and a record backlog of $1.2 billion, up 66% year-over-year. Our Powerscreen and Finlay brands are benefiting from strong, global aggregate demand. We have leading market positions with our mobile crushing and screening products. Growth of environmental and waste recycling solutions is driving demand for our Ecotec and CBI products. The MP team has taken existing product designs and modifying them to service the fast-growing environmental and waste recycling markets. The strength of residential construction is driving demand for our cement products as US housing inventory is being replenished. Our advanced mixer business has launched new products and features. Our Fuchs material handlers are benefiting from high scrap steel prices. In addition, Fuchs machines operating hours are higher which drives parts revenue. The strength of commodity prices is driving demand for front of pick & carry cranes in Australia. This product is being redesigned for the growing Indian market, which is the largest pick & carry crane market in the world. MP's end market diversification is a strength. All these markets are growing and provide strong demand for our leading MP brand. MP's end markets are also strong demonstrated by a 16% increase in bookings and a record backlog of $2.3 billion, up 77% year-over-year. Construction, infrastructure and industrial applications are driving demand for Genie solutions. Applications for Genie products include data centers, warehouses and manufacturing facilities. The replacement cycle in North America and Europe is positive as fleets age and customers have strong utilization rates. Globally increased adoption continues to improve labor efficiency and job site safety. Except for China, demand ran strong for Genie products in all regions. Our utilities business will benefit from the electric grid expansion as well as anticipated infrastructure bill related spending in 2023. Further the business will participate in the demand for 5G telecom across the United States. The business has robust demand as customers look to reserve multiyear production slides. Our new state-of-the-art Watertown South Dakota facility has the capacity to support this growth. Turning to slide 7, our Execute Innovation and Growth strategy will continue to strengthen our operations in 2022 and allow the company to capitalize on strong demand in our end-markets. First, the team continues expansion into new markets and geographies which has high-growth potential including recycling, material handling and electrification. MP continues to build out ProStack, bulk handling product offerings and distribution channels. This is an excellent adjacency to our existing material handling solutions. In AWP the Genie substation utility boom demonstrates partnership between our Genie and utilities business, to deliver a new insulated boom for electric substations where an operator cannot use the bucket trucks. Our parts and service teams are investing in digital offerings for dealers and customers including My Terex and Lift Connect. Enhanced features include, improved service analytics allowing customers to maintain their equipment and reduce downtime. Timely information such as utilization rates and fuel consumption improves customer operating performance; online product information and intuitive parts and service order functionality. More than 60,000 machines are fitted with this technology and more enhancements are under development. We are also expanding our utilities customer service footprint with the new Atlanta facility. In addition to technology and customer experience, we continue to invest for growth both organically and inorganically. In February, we made an investment in Viatec with their plug-and-play electronic power take-off system. This demonstrates our commitment to support the electrification of utility fleets that allows trucks to operate without engine item. This solution supports our customers' ESG needs by eliminating noise and carbon emissions. It also lowers operating costs and extends the life of utility equipment, by reducing engine operating hours. This week we announced the acquisition of a heavy fabrications manufacturer based in Northern Ireland. This purchase supports MP's growth strategy by increasing fabrication capabilities and capacity. These actions and investments demonstrate our commitment to executing on attractive growth priorities that support our strategy. Turning to slide 8, an important part of Terex's organic growth is our new Monterrey Mexico facility. I recently visited the temporary facility where our highly engaged and talented Genie team members are currently producing telehandlers. The team is building a strong operational foundation based on the Zero Harm safety culture and Terex Way Values. I also visited the site of the permanent facility, which is early in the construction phase and progressing well. Local supply chain development is also underway. The Monterrey team came together over the past year from multiple industries, and they are doing an incredible job. It has been great to see the excellent teamwork among our local Monterrey, broader Genie and corporate teams working together to create a world-class manufacturing facility. Please turn to slide 9. Geopolitical issues and local COVID policies are causing increased disruptions and significant cost increases in materials, logistics, freight, energy and labor. These headwinds have constrained our growth. However, we are aggressively managing these challenges. In the quarter COVID cases continued to increase. At Terex, we had more cases in Q1 2022, than we had during the full year of 2021. This adversely impacted production and efficiencies at our facilities as well as our suppliers. Towards the end of Q1, China COVID policy started causing a significant disruption to our Changzhou and Jiading facilities. This is also impacting many of our China-based suppliers, further increasing disruption in our global supply chain and logistics. The team is battling headwinds every day, by mitigating cost pressures and minimizing production disruption, by staying close to suppliers and expanding our supply base. Redesign components to maximize availability of critical inputs to improve production, providing transparent communications of delivery and cost headwinds to our customers and implementing price increases in response to inflationary cost pressures. In this dynamic environment, our operations sales and customer service team members are demonstrating resilience and flexibility to increase production deliveries for our customers to overcome these global challenges. And with that, I'll turn it over to Julie.
Julie Beck: Thanks, John, and good morning, everyone. Let's take a look at our first quarter financial performance found on slide 10. We reported sales of $1 billion, up 16% year-over-year, primarily due to increased volume and price. Foreign currency translation negatively impact sales by $32 million, or approximately 3.5% in the quarter, as the euro weakened against the dollar. Gross margins declined by 180 basis points in the quarter, as pricing actions partially offset cost increases. Our AWP business recognized $3 million of benefits related to prior periods from the reinstatement of tariff exclusions and a business tax refund. Recall that we were not able to ship all 2021 priced orders in 2021 due to component availability. Input costs for steel, hydraulics, engines, brakes and logistics have increased on a year-over-year basis on a sequential basis and since our last earnings call. Despite the highly inflationary environment, SG&A expense was $3 million lower than the prior year. SG&A percentage of sales of 11.1% improved by 210 basis points from the prior year, as strip expense management control continued. Operating margins of 7.4% was up 30 basis points compared to the prior year and up 40 basis points sequentially through disciplined cost control. First quarter operating profit was $75 million compared to $62 million in the prior year. Current quarter operating profit included $5 million of charges in corporate and other, associated with restructuring severance and litigation charges related to former product lines. Interest and other expense was approximately $4 million lower than Q1 of 2021, primarily due to reduced interest expense on debt levels that were lowered by $239 million. The first quarter 2022 global effective tax rate was approximately 18.5%, as we recorded favorable discrete items in the quarter. Our global effective tax rate estimate for the year remains at 20.5%, consistent with our previous outlook. First quarter earnings per share of $0.74 increased 32%, representing an $0.18 improvement over last year. The financial callout had a $0.02 per share negative impact in the quarter. Incremental margins of 9% for the quarter were below our target of 25%. As we discussed in February, in the first half of the year our incremental margin framework of 25% is challenged as inflation continues to escalate. Our return on invested capital remains strong at 19.2%. Free cash flow for the quarter was negative $72 million, which was consistent with past historical patterns for the first quarter. We have not yet received an approved $39 million IRS refund. I will discuss free cash flow in more detail later in my prepared remarks. Let's look at our segment results, starting with our Materials Processing segment found on slide 11. Pictured here on the slide are excellent examples of our growth investments in MP, our Ecotec recycling product line and Terex Washing Systems. MP had another strong quarter, with sales of $453 million, up 20% compared to the first quarter of 2021. And the business ended the quarter with a backlog of $1.2 billion, up 66% from a year ago. Booking activity was particularly strong in our aggregate and environmental businesses. In these challenging markets MP increased our operating profit by 31% in the quarter and reported operating margins of 14.2%, up from last year by 120 basis points and sequentially by 40 basis points. MP has been able to show consistent performance, even in this inflationary environment. The team continues their excellent operational execution. On Slide 12 see our Aerial Work Platforms segment financial results. AWP sales of $552 million increased by 16% compared to prior year. AWP first quarter bookings of $1.1 billion, were up 16% year-over-year with particularly strong booking activity in the utilities business. Backlog at quarter end was $2.3 billion, up 77% from the prior year. Both Genie and utilities have taken multiple price actions over the course of 2021 and 2022 to address inflationary cost pressures.  AWP delivered operating margins of 5.9% in the quarter up from last year by 30 basis points and sequentially by 110 basis points driven by strict expense management. Excluding the financial call out benefits in the quarter operating margins were consistent with the prior year. The Genie and utility teams are working diligently to deliver every day. I am proud to work with them as we continue to drive operational improvement. Please see Slide 13 for an overview of our disciplined capital allocation. To provide you some color on our free cash flow performance. Historically, the business is in a negative free cash flow position in the first quarter. In the first quarter of 2021, our free cash flow was positively impacted by $15 million of tax refunds and $7 million of net benefits from the sale of our TFS portfolio. Q1 2022 has improved when compared to our historical performance in the first quarters of 2019 and 2020. Free cash flow in the quarter of negative $72 million was adversely impacted by increased inventories of $108 million. The higher inventory levels were a result of a $42 million increase in hospital inventories awaiting installation of final components and a $44 million increase in raw materials to support our backlog. Now let me detail some uses of our cash in the quarter. We continue to reinvest in our business, with capital expenditures and technology investments of $23 million. A large portion of our capital expenditures is related to our modern Mexico facility. Returning cash to our shareholders is an important element of our disciplined capital allocation strategy. The company increased its quarterly dividend per share in February to $0.13, an 8.3% increase. In addition, we completed $18 million of share repurchases in the quarter and we believe that Terex shares are an attractive investment. We had $122 million remaining on our share repurchase program. Finally, the company has significantly delevered over the past four years and strengthened its balance sheet. Outstanding gross debt has been reduced by $738 million since the first quarter of 2019, a 50% decrease and $239 million since the first quarter of 2021 or a 24% decrease. We have no near-term maturities until 2024 and 81% of our debt is at a fixed rate until the end of the decade. Our net leverage remains low at 1.35 times, which is well below our 2.5 times target through the cycle. We have ample liquidity of $753 million. The company is in an excellent position to run and grow the business. Now turning to Slide 14. We are reaffirming our full year company and segment 2022 outlook that we shared with you in February. Supply chain challenges continue, but inflation pressures, geopolitical uncertainty and highly restrictive China COVID policies have gotten worse since we've last spoke to you. It is important to recognize this unprecedented environment could change this outlook positively or negatively. Our performance in the first quarter was better than expected. As for commercial demand, we continue to see strong bookings activity in the first quarter. We ended the quarter with backlog of $3.5 billion. However, our sales outlook reflects the latest dialogue with our suppliers. Sales are not a function of demand, but rather the ability of the supply chain to deliver components. We have the internal capacity to produce more and have demonstrated such in the past. Operating margins are expected to steadily increase throughout the year as price cost dynamics improve. MP's margins of 14% to 14.5% will be relatively balanced throughout the year. AWP's operating margin of 7.8% to 8.5% reflect price realization improving throughout the remainder of the year. In the second quarter, we expect AWP's operating margins in the mid-single digits. Operating margins are expected to improve in the third and fourth quarters as pricing actions take effect. With that said, incremental margins in the first half of the year are anticipated to be negative but improved in the second half and be above our 25% target. MP had an outstanding second quarter in 2021 with operating margins of 16.4%. So the business has a difficult year-over-year comp for the second quarter of 2022. In addition, MP's incremental margins are negatively impacted by investments in new products and manufacturing capacity. AWP also had a strong second quarter in 2021, delivering 11% operating margin as sales recovered and there were minimal inflationary pressures. Therefore, unfavorable price cost dynamics in the first half of 2022 will result in incremental margins below our target, but increasing to above our targets in the second half of the year. Turning to free cash flow. We expect improved free cash flow in the next three quarters and we reaffirm our $175 million to $225 million outlook. Finally, I would like to reaffirm our earnings per share outlook of $3.55 to $4.05. And with that, I will turn it back to you John.
John Garrison: Thanks Julie. Turning to slide 15 to conclude my prepared remarks. Terex is well-positioned to deliver increased shareholder value because we have strong businesses, strong brands and strong market positions combined with record backlog upon, which we can grow. We will continue to invest in new products and manufacturing capacity along with strategic inorganic growth. We will continue to execute our disciplined capital allocation strategy and we have demonstrated resiliency and adaptability in an increasingly challenging environment. I am confident this will result in Terex being an even stronger company. And with that, let me turn it back to Randy.
Randy Wilson: Thanks, John. As a reminder, during the question-and-answer session, we ask you to limit your questions to one and a follow-up to ensure we answer as many questions as possible this morning. With that, I'd like to open it up for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Nicole DeBlase with Deutsche Bank. Your line is open.
Nicole DeBlase: Yeah, thanks. Good morning guys.
John Garrison: Good morning Nicole.
Nicole DeBlase: So the 1Q margins were definitely I think better than expected. But incrementally inflation has stepped up versus when you guys provided your original outlook. So maybe you could talk a little bit about, how the price/cost equation is looking for the full year relative to how you were originally thinking about it?
John Garrison: Thanks Nicole. So the objective of our pricing strategy really across our global businesses is to offset material and logistics cost increases. We took pricing actions in late 2021 as inflation began to accelerate. But unfortunately it was not enough. And so we had to take additional actions across the company in 2022. We are being transparent with our customers and our distribution partners regarding the level of inflation that we're seeing and why we need to take the additional pricing actions. I'll also comment that our supply chain teams are pushing back hard on our suppliers. But, nonetheless, we are seeing inflationary impact. And so in the AWP business, again, took pricing actions late 2021, it was not enough. And so we implemented further price actions in April to mitigate the inflationary pressures that we're seeing. And our outlook is, is that price realization will improve throughout the year. For AWP and this was consistent Nicole, we do anticipate being price cost negative in the first half of the year and price cost neutral for the full year as that price realization improves. If we look at our MP business, MP has done a really good job offsetting most of the material and logistics inflations that we've seen around the globe. And they've been dynamic in updating their pricing and we expect that they will continue to be dynamic as we go forward. And even though their pricing has been more dynamic as we know, we've seen greater inflationary pressures here this year as a result of the war in Ukraine, which impacts our MP business, given their production capacities in Europe. And so we're looking for them to also to have to take further price actions as we progress and we're expecting MP for the full year to remain price cost neutral. So again, that's our pricing actions. We're being transparent with customers, being clear of what we need and why we need to take these pricing actions. They're difficult conversations, but absolutely necessary, given the unprecedented level of inflation we're seeing. So pricing is dynamic and it's ongoing to offset these inflationary pressures that we're facing.
Nicole DeBlase: Got it. Thank you, John. And just as a follow-up, I mean one of your biggest competitors talked about actually taking surcharges this week which is a total change in how the industry typically prices. And even adding those surcharges to equipment that's already in backlog, what is Terex's approach to taking the incremental price increases that you just spoke about?
John Garrison: Our approach is price actions you can call them surcharges or price increases. We did take the pricing actions for anything that had not been delivered. So anything delivered after mid-April in the Genie business will carry the higher price.
Nicole DeBlase: Thanks. I’ll pass it on.
John Garrison: Appreciate it.
Randy Wilson: Operator, next question?
Operator: Your next question comes from the line of Stephen Volkmann with Jefferies. Your line is open.
Stephen Volkmann: Great. Good morning folks. Thanks for taking my question. Maybe semi related, but I just want to sort of understand the moving parts here. So last quarter, you said you expected AWP margins to be sort of low single digits in the first quarter. Obviously, they came in better than that even sort of subtracting your good guy that you described Julie. And I'm just curious, what was better than you expected? Was it price cost or just throughput supplier availability? Just what actually was better? 
Julie Beck: Yes. So Steve, thanks for the question. We had a slightly higher volume and we had a bit of a favorable product mix. We had some strong execution in price cost and really the team did an excellent job on strong expense management, both operating and SG&A costs were very favorable there. We have a very strong cost control environment and they've done a really great job on managing costs. So, all these things were very favorable. We did have some unfavorable exchange though, I wanted to make sure everybody knows of this. The dollar has strengthened. The Genie AWP business in particular has been impacted by the strengthening of the dollar against the euro.
Stephen Volkmann: Okay. That's helpful. Thanks. And I guess as we think about the second quarter, it sounds like you're kind of thinking margins are flattish sequentially on what I assume is up revenue sequentially, but correct me if I'm wrong there. But that seems conservative or have things sort of deteriorated at the margin that that's sort of a more realistic outlook?
John Garrison: Go ahead, Julie. I'll take the first part. Steve, on the volume side and we can talk a little bit more on the supply chain, but with the changes in China and the COVID policies there, we have a large production facility that produces for China, but also exports out of China to the rest of the world other than the United States. And so we're seeing some softness in production as a result of those COVID. So we're looking at probably flattish revenue year-over-year in the AWP segment. And Julie, you want to comment on the margin side. 
Julie Beck: Yes. Margins will be up slightly just due to a little bit more pricing actions coming through in the second quarter. 
Stephen Volkmann: Okay. Thank you. 
A – John Garrison: Thanks Steve.
Operator: Your next question is from the line of Tami Zakaria with JPMorgan. Your line is open.
Tami Zakaria: Hi, good morning. Thanks for taking my question. 
A – John Garrison: Good morning, Tami.
Tami Zakaria: Good morning, how are you? So, given you have taken multiple price increases year-to-date can you remind us what's the volume and price mix embedded for the full year sales growth? And also, if you could remind us what the mix was in the first quarter's 16% growth you saw?
Julie Beck: Yes. So, thank you -- thanks very much for the question, Tami. So we – in the first quarter we had more price than we had volume. So about -- and it was offset by FX of 3.5%. So, about two-third of our increase was related to price a 1/3 of it was related to volume. And so, as we look at our full year, we'll see more pricing we have higher costs offsetting that. We have unfavorable foreign exchange in the year and volume up a little bit more than what we gave you last time, about 6%. 
Tami Zakaria: Got it. Thank you. And also, can you talk about the recent Northern Ireland steel fabricator acquisition? Anything you can share on what kind of sales and margin accretion you expect overtime? And how this fits into the overall portfolio? 
John Garrison: Thanks Tami. Yes, the recent acquisition we made really, it's a vertical integration play. We needed to take control. They're a heavy fabricator manufacturer. We've been doing business with them for quite some time. And we needed to be -- to ensure our growth in our MP business there in Northern Ireland where they're crushing and screening products. We needed to control the fabrications. And so, there was going to be a change of control in the business and we felt it was appropriate for us to control that fabricator to ensure that we have the growth that we need going forward. So it really is -- it's a vertical integration play Tami to control our supply chain. 
Tami Zakaria: Great. Thank you so much.
John Garrison: Thanks Tami.
Operator: Your next question comes from the line of David Raso with Evercore ISI. Your line is open. 
David Raso: Hi good morning. So, it appears all the math and I know corporate expense goes down sequentially because of the one-off item in 1Q. But it seems like puts and takes 2Qs maybe around $0.85 or so. What I'm trying to understand is then the back half of the year you would need roughly about $2.20 to get to the midpoint of the guide. And that just feels like a tug of war between price cost improvement and then the negative in particular the China lockdowns and Russia-Ukraine fall out especially on your cost structure in Europe.  Can you help us a little bit quantify, how you're thinking about the guide in that back half, when it comes to -- and I know it's hard to predict, but I mean is there some work around a little bit around the China lockdown to some degree or some assumption of handling the lockdowns in a different way or just assuming there's some opening? And then the Russia-Ukraine fall out, I guess particularly that would hurt the MP profitability. So just trying to think about the second half earnings being above the first half with those tug of wars, price cost to positive versus those two obvious negatives of the lockdown in the Russia-Ukraine situation? 
John Garrison: Yes. Thanks David. And you're right. Price cost, given the pricing actions we need to see improvement in the back half of the year clearly on the price/cost side. I think David really the way we're looking at it is, it's really this is not a demand issue it's a supply issue. And what we're doing is we're looking at what's the demonstrated capacity of our suppliers and we've built our outlook around that demonstrated capacity. They've demonstrated $1 billion, $1.1 billion type of level of capacity to meet our needs. And so, we've built our outlook around that.  And in terms of the supply chain supply, chain performance we didn't see an improvement in the supply chain in the first quarter. As a matter of fact, we saw some deterioration in performance. We're anticipating in other parts of the world we do see a slight improvement, but not substantial improvement in the supply chain to meet our forecasted needs.  A bit of a challenge right now is COVID in China. It has impacted our facility. The good news is, is we haven't been shut down completely, but we have had rolling shutdowns based on the ability to have material in the plant so our team member can work. Our suppliers are experiencing similar phenomenon. And so based on the best information available that's how we've laid out our outlook for the second half of the year, and it's really in that $1.1 billion kind of range and that's the demonstrated capacity that suppliers have exhibited frankly for the last couple of quarters, and we're not anticipating a significant improvement. Now, if we do get a significant improvement clearly the demand is there, and we'll be able to produce and deliver more. But right now, the constraint is the supply chain and the new variable here in the last 60 days, 30 days is really the China COVID policy and what impact that has on the global supply chain. And so that's obviously, what we're managing, and we believe our outlook comprehends the best available information available.
David Raso: Yeah. And I'm just trying to think mathematically, if it's sort of like $0.85 Q2, it has to go up roughly call $0.20, $.15 sequentially to get to that sort of $1.10 run rate in the back half every 100 bps of price cost improvement is about $0.10 right? So it seems like there's a couple of hundred bp of improvement in price/cost and then just hopefully a little improvement in the lockdown situation. Is that the rough math on how to think about the swing from the first half negative price cost to second half positive price cost. It's at least a couple of hundred basis points and that kind of gets you the incremental EPS.
Julie Beck: So David you're correct. What we'll see for AWP is the operating margins of 7.8% to 8.5%, and it improves sequentially over time as price realization improves throughout the remainder of the year. And for the MP business, operating margins remain relatively flat in that 14% to 14.5% for the year. They just continue to do an outstanding job each quarter.
David Raso: Okay. So the AWP price cost swing is the major driver for the back half and then MP will obviously see what happens with the Russia-Ukraine situation, but that's sort of the delta, right? If you can get some lockdown help that obviously helps AWP volume on top of the price cost and then the Russia fall out obviously on the cost side for MP, where you've already taken the margins sort of down to a lower than previously expected, right? Just the idea of sort of flattish the rest of the year roughly speaking. So -- okay. Thank you very much.
John Garrison: Okay that's a fair assessment David. 
David Raso: Okay. Thank you very much. Appreciate it. Thank you.
Operator: Your next question is from the line of Jamie Cook with Credit Suisse. Your line is open.
Jamie Cook: Hi. Good morning and nice quarter.
John Garrison: Thanks Jamie.
Jamie Cook: My question is on backlog on AWP. Obviously I think you're at $2.3 billion, which suggests you're starting to take orders for 2023. Can you just sort of help us understand how contractually one whether you are? And how you're contractually making sure we don't have price protecting yourself, right? So we don't have price cost headwinds in 2023 whether you have any surcharges in there or contract relief for 2023? And then since you announced the April price increase, have you seen any change in order patterns as a result of that? Thank you.
John Garrison: Thanks, Jamie. I'll answer the questions in reverse order there. So, and I can say, this broadly across the globe, we haven't seen any significant order installations as a result of the price actions that we've been taking. Of course, there are pockets at times. We saw some in our utilities business based on municipal contracts. But in those cases actually, it went to rebid and we were able to win the bid. In terms of the Genie or the Aerials business, the good news is we are seeing quite strong demand. Our rental companies are in really good position. They're seeing record levels of utilization. Their business is strong. We're entering into the replacement cycle. And I think the replacement cycle is going to continue. And I think it's probably going to continue to be pushed a little bit to the right, because of the industry's ability to meet the demand from a capacity standpoint. So we are having discussions with customers. We do have orders that are flowing into 2023. The way in which we have handled, it is we have provided indicative pricing that is provisional and that will be reviewed at the end of the year as we get closer to the time of actual production in the beginning of delivery. So we are not locking in pricing for 2023 at this time. We've provided provisional indicative pricing for all customers that are interested. They are taking some production slots, but we have the ability to go back at the end of the year and adjust prices based on what the material and material conditions are at that point in time in the year, and into 2023, I might add.
Jamie Cook: John, just as a follow-up in terms of who's coming in for 2023, is it the nationals, or is it pretty broad-based across your customer base? And then I'll get back in the queue. Thanks.
John Garrison : Yes, Jamie, it's really broad-based. So it's across all customer segments and North America, European-based principally right now in North America, but we're seeing strong demand all over the world right now in Genie with the exception of China. So it's broad-based across the customer segment. 
Jamie Cook : Thank you very much.
John Garrison : Thank you, Jamie.
Operator: Your next question is from the line of Stan Elliott with Stifel. Your line is open.
Stan Elliott: Hey, good morning everyone. Thank you guys for taking the question. A quick question on the Franna business. It's been a great product, great margins for you guys, taking it into China. What sort of investments will be required from you all there? Can you build it within some of your existing facilities? Just curious how that will eventually ramp? 
John Garrison : Yes. So, you're right, Franna is a great business down in Australia and we're seeing some real strength. Again, there's positives and negatives, great high commodity prices around the world for mining lead to strong business for us with Franna. And it's actually going to India. So what the team has done is -- and we're the clear market leader in pick & carry in Australia, but it's a much smaller market. And so the team has taken the fundamentals of the front of design and we're moving it to our facility in Hosur localizing it, done a great job localizing it, and building it there. We had expanded one of our manufacturing facilities in Hosur. So right now, they're going into the existing facility. We will need if we're as successful as we think we will be, we will need to add to the capacity that we have there stand in Hosur. And again, it will be modest levels of investment. But again, excited to see that, that's a great example of growth, product line extension, regional growth that the MP team is really good at and we're excited to see what happens. And the reception thus far has been quite positive. And again, it's the world's largest pick & carry market. So we're excited to see if we can drive some incremental growth and profitability in India with our Franna product line. 
Stan Elliott: And switching gears, maybe a little bit about what's happening on the M&A environment. Curious if the transaction from the other week is that really more was that with moving more into fabrication? Would you still like to be more expansive within the product categories that you're operating more on the MP side? Just curious if that marked a shift change or if there's kind of opportunistic? 
John Garrison : So, we obviously -- we have a bias towards growth now with capital deployment. So if you look at the investments we're making for organic growth a fairly substantial in our systems, in our technology for organic growth. We’ve also have done several smaller acquisitions over the course of the last year. We are building an active M&A pipeline. Our principal focuses are in and around the MP businesses and the verticals that we compete in MP with the market structure, we think there is going to be opportunity. So we have an active M&A pipeline that we’re active on, and in this particular case, it really tie to yet to some extent it was opportunistic, but to a broader extent we wanted to make sure we control our ability to grow a critical part of our business and key heavy fabricators are very important to our growth for our MP business. And so it was opportunistic key area for us and we felt the vertical integration there in Northern Ireland was important to have that ability to grow going forward. So that's why we made the acquisition stand.
Stan Elliott: Perfect. Thanks so much for the time and congratulations and best of luck.
John Garrison : Thank you, Stan.
Operator: Your next question comes from the line of Steven Fisher with UBS. Your line is open.
Steven Fisher : Thanks. Good morning. I wonder if you could just give us a little more color from the front lines of the supply chain situation. Is this still a seven-day a week frenzy kind of dynamic, or is any of it normalized a bit? And I guess related to this on China, how much of the concern here is just concern that it might have a more global impact versus just within China, or are you already seeing it have a global impact on the supply chain?
John Garrison : So, the supply chain environment still is incredibly dynamic. When you look at supplier on-time delivery performance, we have not seen -- good news is it hasn't deteriorated significantly, but it hasn't improved. So on any given day, we literally have hundreds of parts that are late or not where they need to be in our facilities around the world. So the teams are doing a heck of a job adapting to that environment. So we have not seen a significant improvement in the supply chain. We did see a build in what we call hospital inventory almost a $40 million increase and that represents inventory that's substantially complete awaiting one or two components that we can complete and ship. And so the team still dealing with that phenomenon and we would have never spoke about hospital inventory prior to this experience. But that's the environment that the team is dealing with. And so it really is resilient, adaptability, staying close to suppliers, getting the best information available as soon as possible and then adjusting your production schedules to maximize our production and limit the disruption to a certain extent, but it's disruptive every single day. And the COVID situation in China it has clearly impacted our plant. The good news is we're not in a region where our plant has been shut down for a month. It's been able to operate, but we are seeing and we have situations where suppliers are giving us a heads up that their second or third tier suppliers are struggling right now and that's going to impact their deliveries to us. So again, it's just another variable that the teams have to manage. And the good news though in China is when our team members can work, we have 99% plus attendance and they want to work all the hours that are required to make it up. And so once they get some freedom of movement in China, it will recover quite quickly. Now you got to deal with the logistics and all that sort of thing, but that's the good news in this challenging scenario is once the policies change China will recover quickly. The question is how long do they -- are we in this zero tolerance zero COVID and what impact does that have. And it really is city by city, plant by plant. And so that's why it remains dynamic. And again, our team is doing a heck of a job managing through that, not just in China, but on a global basis.
Steven Fisher: Okay. And just can you remind us what your position is on steel costs for the second half of the year versus the first half?
Julie Beck: Yeah. So our original outlook we had talked about at $1,800 in the first half for hot-rolled coil in the US going down to $1,200 in the second half. That assumption is now $1,800 in the first half down to -- up to $1,400 in the second half.
Steven Fisher: Perfect. Thanks a lot.
John Garrison: Thanks, Steve.
Randy Wilson: Thank you, Steve.
Operator: Your next question comes from the line of Steve Barger with KeyBanc Capital Markets. Your line is open.
Steve Barger: Hey, thanks. Good morning.
John Garrison: Good morning.
Randy Wilson: Good morning, Steve.
Steve Barger: Your comments on challenged incremental margin, especially in the first half were totally understandable. My question is, if you come in at high-teens this year for argument sake, does that rebound above the target range next year, meaning that as you get a handle on price and supply chain, you would expect to run further into the 30%-plus range to kind of get to a two-year average on that target?
John Garrison: So I'll take the first one, Steve and I'll let Julie jump in. Honestly, our target as a manufacturer is 25% incremental. As we said, clearly challenged in the first half of the year above that target in the second half of the year, we'll see as we move into 2023. Clearly, in the AWP segment, we need to be looking at something north of 25% to get to the margin levels that we think that business should operate in. On the MP side, their consistent level of operating margin. Sometimes they fall a little short of that 25% target. But as Julie said, that's because of some of the investments we're making. So the 25% target is our target and we'll see as we move into 2023. But clearly, in the AWP segment, we're going to have to do better than that to get back to the margin levels that we think the business should enjoy.
Steve Barger: Understood. And you talked about the Fuchs operating hours being up and driving the parts business. How does Fuchs compare to say screening in terms of driving aftermarket parts? And can higher operating hours across the installed base really drive a material benefit to earnings, or is that just more of a modest tailwind?
John Garrison: So the highest parts usage is obviously the heavy screens and crushers, just given the nature of ground engaging. But the operating hours of our Fuchs machines in terms of hours run on the engines and movement is actually the highest. So we -- they do generate a nice parts revenue stream. A lot of the strategies that we've put in place are driving incremental revenue in our parts business margins of -- again we have to take the same pricing actions there. So it's a modest tailwind for us as we go forward. But we do think there's ability to continue to grow our parts and service business across the globe. 
John Garrison: Thanks, Steve.
Steve Barger: Got it. Thanks.
Operator: Your next question is from the line of Seth Weber with Wells Fargo. Your line is open. 
Seth Weber: Hi. Good morning, guys. Wanted to ask a question about Europe specifically. Just the demand environment in Europe and your ability to get pricing is it are you getting pricing the same levels that you're getting in North America? Thank you. 
John Garrison: Thanks. In terms of the pricing actions the pricing actions are regional based on the specific cost needs in the regional markets. For both AWP and MP business they are taking pricing actions around the globe specific to the respective products in the region. So the pricing actions do vary and we are seeking price increases in Europe both in the AWP business and the MP business as we go forward. 
Seth Weber: How would you characterize the demand levels in Europe relative to North America, or any, sort of, impact that you're seeing on a demand perspective with respect to the war? 
John Garrison: Okay. In the first quarter we saw strong demand in Europe. We'll see as we move forward. But right now we've seen strong demand across both MP and AWP in Europe. 
Seth Weber: Okay. Thank you. And then just a clarification John you talked about Utilities bookings being particularly strong. Were access bookings up in the quarter as well, or is that just all driven by utility? 
Julie Beck: Yes. No both of the business had increased up bookings in the quarter. 
Seth Weber: At both of the parts of... 
Julie Beck: Of AWP yes, yes. Both the Genie and Utilities had increased bookings in the quarter. 
Seth Weber: Okay. Thank you.
John Garrison: No problem.
Operator: Your final question comes from the line of Jerry Revich with Goldman Sachs. Your line is open. 
Jerry Revich: Yes. Hi. Good morning.
John Garrison: Good morning.
Jerry Revich: John, I'm wondering if you can – Hi. John can you talk about your handling of the current supply chain headwinds in China given the experience that the organization has gained over the past three years dealing with these rolling shutdowns globally. How much more global is your supply base today as you drill down and look at core underlying components third-tier suppliers? Can you just talk about that dynamic it feels like you're in a better position today than over the past couple of years given the work the organization has done but maybe you could quantify the supply base and provide some more color on that? . 
John Garrison: Yes. I mean the team has done over the last several years a tremendous work on the strategic sourcing initiative. And it really is a globalized supply base. Now with that came manufacturer suppliers in China and especially around castings hydraulic components and some electronic components. China is a world leader in those categories. So those are categories where we have seen some disruption associated with COVID. And again that's what we'll be watching quite closely. The work the team has done consolidating suppliers, identifying primary suppliers and growth suppliers who've been able to move. And again this tight supply environment has been challenged, but where we need to move some supply or increase capacity. We have had some success there. And most importantly, I would say is that just the level of importance that we are to the supply base has enabled senior-level dialogue because I'm spending a lot of time on the supply base side and the strategic sourcing initiative that we underwent allowed me to have those relationships that I think are critical in this time period to ensure that our suppliers understand the impact that they're having on our business and to making sure that the suppliers are utilizing all resources available to help break the constraints that have been applied. And we've seen some amazing work done by the teams from an engineering redesign standpoint and done things safely and properly tested in time frames that we wouldn't have thought possible, prior to this pandemic. So I would say that strategic sourcing enabled us to have those relationships that we needed through the organizations. We're more important to these suppliers and it's clearly helped. Now with the level of disruption they're experiencing their on-time delivery performance is not anywhere near where we would like but that's one of the things we discuss with when we have our senior level meetings. So, again, I think we've made progress. We are localizing some. As I mentioned in my opening comments, we are localizing some in Mexico. We think Mexico will be a good supply base for us to support not only our Mexico operations but also our US-based operations. So you will see us moving some from Asia into Mexico as we go through the coming years, because we think that's a quite attractive place for us to be going forward. So, that's -- Jerry kind of around the world on supply chain if you will.
Jerry Revich: I appreciate it. And I'm wondering, John, now that you have all of the telematics data in place, can you just talk about how in Europe utilization has evolved year-to-date given the disturbance in energy prices? And obviously the war, can you just talk about what the utilization has looked like in AWP in Europe in the quarter versus normal seasonality through April if you can share it?
John Garrison: Right. So, just looking at the graph as we speak we saw good utilization increase in general, and actually January and February. We did see it decline slightly in March in a little bit more in April. Now, again, we're not seeing in North America, especially we're not seeing the normal seasonality impact, because the demand is so strong, but we did see a little bit of come down in operating hours in April in Europe based on our telematics data.
Jerry Revich: Thanks.
John Garrison: Thanks, Jerry.
Operator: I will now turn the call back over to Mr. John Garrison for some closing remarks.
John Garrison: Thank you, operator. If you have any additional questions please follow-up with Julie and Randy. Please stay safe and healthy, and thank you for your interest in Terex. Operator, please disconnect the call.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.